Operator: Good morning, and welcome to the Jacobs Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. And I would now like to turn the conference over to Michelle Jones, Vice President of Corporate Communications. Please go ahead.
Michelle Jones: Thank you, Amy. Any statements that we make today that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors, which may occur that could cause or contribute to such differences, we request that you read the company's most current earnings release and its annual report on Form 10-K for the period ended September 28, 2012, including: Item 1A, Risk Factors; Item 3; Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition; and results of operations contained therein; and the most recent Form 10-Q for the period ended March 29, 2013. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements whether as a result of new information, future events or otherwise. With that, I'd like to turn the call over to John Prosser, EVP and Chief Financial Officer.
John W. Prosser: Thank you, Michelle, and good morning, everyone. Welcome to our third quarter conference call. I will go through a brief overview of our financial highlights for the quarter and then I'll turn it over to Craig Martin, our CEO, to go through the business overview and outlook. If you go to Slide 4, our third quarter financial highlights. We did report that we had earnings per share of $0.83 on net earnings of $108.9 million. These were very good earnings. There were a couple of key factors for the quarter. We did see a pickup in revenues, primarily related to activity on our field services markets, which did have a little bit of an impact on our margins, but we also had a very good quarter in controlling our G&A cost. We -- they were actually down slightly from the prior quarter and that was including about a $5 million amount for due diligence cost that were incurred during the quarter. That had an impact of about $0.02 per share. So with those activities, we think the quarter overall was very good. And that due diligence activity, we expect to continue certainty into the fourth quarter and possibly beyond. Looking at our backlog, it increased nicely up to $17.2 billion. The book-to-bill ratio for the trailing 12 months was 1.14, which continues to be on a nice growth track. The balance sheet continues to be strong with a cash position of $1.3 billion. Our net cash was $850 million, which is up of about $135 million from the prior quarter. With the results, we did continue our guidance at the $3.00 to $3.50 range. With that, I point to the -- the midpoint of that range is kind of what we always see as the most probable, which would be $3.25. If you turn on to the next slide, Slide 5, just a track of our earnings history. While we didn't quite get back up to our peak on the net earnings, we are within $1 million of that. So I look forward to possibly getting better. Because of continued share issuance, our EPS has not recovered quite as much, but it still had a bit on a very nice growth track since we kind of hit the bottom of the effects of the recession in 2010. And while we are quite at the 15% long term compounded growth rate that we focus on, we are hovering very close to it and expect to get back onto that track as we go through '14 and beyond. Looking at Slide 6, which is the consolidated backlog. Again, nice growth over last year and over last quarter, both good growth in both field services and professional services. So it's a continued growth across the whole business spectrum, not just field services, which had really been sustaining us for a number of years or prior to just this last 4 or 5 quarters that we started to see the field services start to pick back up. So with that, I will now turn it over to Craig Martin to go through growth strategies and give the business overview.
Craig L. Martin: Good morning, everyone. I'm on Slide 7 now, where we discuss our growth strategy. This slide hasn't changed in a while and won't change in the future, I don't believe. And I'm going to cover the first 4 bullets on this list in a little more detail in a few minutes, but I wanted to take a minute to talk about driving down cost. As John pointed out, we had very good continuing cost control in the third quarter. G&A were, with the exception of the little bit of headwind from due diligence, is exactly what we would've expected. And that means that we're continuing to maintain a solid cost advantage in some of these businesses where cost is becoming an increasing issue and I'll talk about that a little bit more as I move on. Going on now to Slide 8, this is our relationship-based business model. It's all about the sort of virtuous circle of doing good work, getting the customer to choose us again and allowing us then to reinvest as we grow to provide, again, more benefits to our clients and therefore, more good work and therefore, more repeat business. Our year-to-date repeat business number for -- through the third quarter is 94%. I think our team is justifiably proud of that kind of level of repeat business. Moving on now briefly to the market diversity slide, #9, you can see kind of how the market stacked up this year from a revenue perspective. This is the trailing 12. You can see the process businesses are up a little bit. Industrial businesses are up a little bit. Public and institutional business is down a little bit as a percentage, but I think the news in all of these categories is relatively good. Let me turn now to each of those categories individually and talk about them. I'm on Slide 10. This is our public and institutional sector, about 36% of our business. You can see that from a backlog perspective, we continue to maintain a strong backlog. It's as good as the backlog's ever been in this business. In fact, it's right at the top of our experience. And that's really good news for us. If you look at the national governments business, by far the biggest part of this group, we're doing pretty well, I think, as a company in dealing with sequestration and managing what that means to us. We continue to take share. The MATOC discussion that we had last quarter and before, continues to be a positive for us. We've had a very strong quarter in terms of awards. The U.S. marketplace, we had 4 major announcements. And those are -- the aggregate capacity of those is more than $12 billion. So it really means that we're -- our team is doing a good job of positioning to take market share and continue to grow. The nuclear market in the U.K. continues to be strong. We had a nice award from Magnox on PMCM for those decommissioning opportunities. So overall, the national governments businesses is no worse than stable for us and I think we will continue to eke out some growth in that business as we go forward. Infrastructure business for us is strong. There's lots of work out there. There's such a tremendous backlog of work that needed to have been done already. It isn't -- and I think that market is going to be strong for many, many years to come. It's always a matter of finding money. And that's why we see user-funded projects, the fees and user fee-based things, as being the strongest aspect to the market right now. And it's a place where we're doing very well. You may have seen an announcement earlier this quarter about our acquisition of Compass. We see the telecom business in particular as an area of strength and a real opportunity. We're expecting pretty rapid growth there. And of course, things like rail, water, utilities businesses are also strong because they don't rely on practice for funding. We're also seeing a lot of activity in the utility pipeline business. There's a multibillion-dollar future for utilities in the U.S. in terms of pipeline upgrade, inspections, repairs, that sort of thing. We've won the biggest program out there at the moment with Sempra and we continue to believe that's going to be another great growth opportunity for us as a company moving forward. And then buildings. That business continues to improve for us. That's a technical buildings business, as I've explained in the past. We do a lot a work in what we think of mission-critical markets. So that's like data centers and operation centers. That market is growing rapidly. We expect a 60% growth between -- in that market between now and the end of the decade. We're also seeing lots of activity in health care, corporate aviation. All those businesses are good and that's where we have real strength. And then the K-12 and higher ed funding is another big positive for us. We've already won 8 major programs and we have 9 others that we're working. Moving on now to the industrial segment or sector of the business. 3 businesses here we like to talk about as well: Pharmabio, mining and minerals, pulp and paper and the balance of that business. Let me talk about each one individually. Pharmabio continues to improve. We're seeing some new products in the pipeline driving some significant capital investment. That's really good news for us. We're seeing a lot of activity in biotech and in the secondary manufacturing. And our core clients are the ones who are spending the money with some geographic diversity. I think that the fact that we're able to serve those companies geographically is another big positive for us because that geographic reach results in us being able to take work when some of our competitors can't. Remember, we're the last global major of any significance still in this business. So this is a positive for us as we see what our customers are planning to do. Mining and minerals. And we put this little note here, it says, it's strong. I guess that would be not true of the industry. In fact, if anything, mining and minerals is pretty weak right now industry-wide, but we happen to be particularly well positioned for the business that is out there. And so we see this one as one that's very strong for us, an opportunity growth area for us for some time to come. While the environment's tepid, it's a market share game. And where the market share is, is in sustaining capital and cost reduction kinds of activities, in plant optimization. These are all areas of great strength for Jacobs. Where the market isn't is in the big greenfield projects. And so we expect that will be a positive for us as we go forward. We can couple this with our capability in buildings and infrastructure and provide a full service offering to these customers in this area. And then there are some new opportunities, greenfield and brownfield both, in uranium, potash and phosphates. Those last 2 in particular, phosphates and potash, are a real strength of Jacobs. And then sort of the other market, pulp and paper, high tech, food, power, consumer product, is a mixed bag. There are a number of places where there's good investment going on, others where there's not so much. We're doing very well in terms of building alliances with these customers and growing our business with them as they invest largely in outside the developed world. So largely outside of the U.S. and Europe. Much more strong in places like Brazil, China, India, where we are positioned or expect to be positioned to support those clients going forward. On the power side, we continue to slowly build our share of the power market and our ability to be identified as a player in the power market, particularly in the U.K. and Europe. So we think that's going to be an area of some growth for us as well. You'll see that backlog's down a little bit quarter-over-quarter and year-over-year. The major projects that would really drive backlog are very slow to book. I don't think the outlook is consistent with the trend as we see it so far, but it's going to take time for those brownfield projects to turn into booking. Moving on now to process, Slide 12. You can see we think the refining business is very strong. There's plenty going on in terms of shale gas and tight oil production and what that means for the refiners. They're making money in refining now and that tends to be a reason to spend money in that industry. They continue to be focused, like the miners are, on cost and efficiency issues. And then, of course, our EPA continues to help Jacobs' business by driving projects, in this case, ultra-low sulfur gasoline. We see 85 refineries as being affected by the ultra-low sulfur gasoline requirements. Project sizes, we have this one customer who has 2 projects that we're negotiating on today. One's $400 million, the other's $200 million and that's just 2 refineries. So it gives you a sense of how big this ultra-low sulfur gasoline program could turn out to be. And of course, you have these changing feedstocks driven by the shale oil, tight oil and the crudes coming down from Canada and that's also going to continue to drive investment in the refining. Oil and gas and other markets is very strong at a $104 a barrel on NYMEX today. The oil price is very sustainable. We see capital expenditures continuing to increase in the E&P globally. And then what we call the amenable spend, the part of it that we can access looks like $160 billion or so. So I think the opportunities for Jacobs remain very significant in terms of opportunities for growth. Oil sands continues to be a good business, particularly in terms of the SAGD part of the business and an increasing drive to find capital efficiency in SAGD projects. We have some specific offerings there based on our long and very strong history in SAGD that offer customers sort of a unique opportunity to drive their capital cost down significantly. We think that will be a major opportunity for us as we go forward. And then of course, unconventional gas continues to be an important market. While the number of drill rigs are down, that just takes us from insane to strong. We think that's going to continue for some time. We see that as a $200 billion potential market over the next few years. And finally, cheap gas means cheap chemicals. And the U.S. chemicals business is booming at an unprecedented rate, certainly in my experience in the industry. We think that's going to continue, along with other investment all around the world in the chemicals business. It's going to be a very strong market through at least '17. What that says, in the backlog you can see we've booked the backlog up almost 14% -- over 14% year-over-year. It's grown 33% in the last 2 years. And right now, our sales team says that the number of prospects to us in these businesses, these process businesses, they use words like "tsunami" of projects. I'm not sure that's fair. But certainly, there's a lot of prospects out there and the opportunity for future growth in this particular segment of the business is very high. Moving on now to geographic diversity, that's Slide 13. Just some quick comments on the markets. I've already talked about North America in the context of things like chemicals and oil and gas. It remains very strong. I think we'll see a lot of activity as we go forward. There's been something like $35 billion of announced investment in the chemicals market, for example. South America will remain strong for us, largely because the projects that we see that are going forward in the mining and minerals arena are largely in South America. We think that CapEx in upstream will also increase. And of course, we're exploring opportunities in Brazil, as I mentioned. Europe, it will be stable. I don't think we'll see a lot of growth in Europe in the next little bit. The demographics and the economics of Europe aren't that good for investment, but I think we are very well positioned there and we should be able to continue to grow our business. Turning to the Middle East and Africa. This is another strong market for us, largely Middle East and North Africa. We continue to be gaining momentum in upstream, winning refining projects. Our relationship with OCP in Morocco remains very strong. We've built a very solid business there in the potash business. Lots of activity in sustaining capital and plenty of buildings and infrastructure opportunity that we're just beginning to capitalize on. So we think the Middle East and Africa will be good for us. India, very strong market for the reasons I outlined earlier. Lots of investment in India in the consumer product, the food arenas, pharmaceutical, as well as another big boom in the fertilizer business, where we are particularly well positioned. We've done a significant fraction of all the fertilizer projects in India and we expect that will continue as we go forward. So India looks very strong in its own right as a market, as well as a continuing opportunity for us to do work here in a high value engineering center point of view. China and Southeast Asia are strong. There's a lot of refinery growth opportunities in Southeast Asia and China. We're looking forward to those. We're also very well positioned now to take care of these core clients as they invest in Southeast Asia and provide them with both a local capability and a global capability and so we see that as a positive. Probably the weakest market right now is Australia. It's a very mixed market. If you're mining and minerals-focused, it's a real struggle. Again, as the big miners reposition, I actually think that will work to our advantage. On top of that, there's a strong business in infrastructure, particularly water infrastructure. And of course, the oil and gas market in Australia remains very strong. And we also have good position in the defense business there. So while I'd characterize the market as mixed, I think Jacobs will be able to do a pretty good job of continuing to grow in Australia as we go forward. Moving now to Slide 14. This is our acquisition slide. Nothing much to mention here that's different. We continue to be focused on China, Australia, South America as markets. Oil and gas, mining and infrastructure are the areas of customer base that we really are excited about, particularly as we want to add some new clients and expand our relationship with existing core clients as best we can. A lot of opportunity out there right now. So as John mentioned, due diligence costs are going to continue to be a headwind into the fourth quarter and probably beyond that. So turning now to Slide 15, this is our kind of commercial. We think this company's a good investment and I think these 4 bullets really help to say why. Our relationship-based business model is relatively unique in the industry and it's working. That 94% repeat business tells us that. Our diversification is also working for us. We've got the second-highest backlog at this moment that we've had in the history of the company. We've got a great balance sheet, $850 million of net cash. So we've got the money to support our expansion and our acquisitions. And of course, our cost position, as far as I can see, is the industry's best. So all in all, I think we're in a wonderful position to continue to grow at that 15% compound or better. And with that, I'll turn it to Amy for questions. Amy?
Operator: [Operator Instructions] Our first question comes from Michael Dudas at Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, I can't recall if you've used the word "tsunami" in describing markets in many years of conference calls. So how well is Jacobs set up to take advantage of such increased work? And how do you see the industry geared up to manage what most people believe is going to be a very strong North American process chemical marketplace? Is -- are the clients starting to recognize that they need to secure the better players and better teams right away? And is that going to help drive better contract terms and better margin opportunities for you guys going forward?
Craig L. Martin: Well, you remember, I was careful not to use the word "tsunami" for myself. I attributed it to our sales team.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Oh, that's right, blame it on the sales.
Craig L. Martin: Yes, I always blame it on the sales team. But it is really a remarkable prospect list. And it's as strong probably as I've seen in my career in these industries and the specific geographies that I talked about. That is driving recognition slowly that customers need to do something. Our clients need to do something to secure capacity because the industry does not have the capacity to support all of the investment that's out there. And so you are hearing customers talk about going back to alliances and exclusive relationships, like we saw in the 2006 to 2008 timeframe or other strategies that have a similar effect. We're also starting to see very faintly, but we're starting to see an improvement in margins as a result because we're starting to see that carousel of people jumping from one company to another for modest increases in pay and therefore, the need to get some wages up and keep getting them up on a continuing basis. So that's also a positive both from margins and an indication of where the industry is headed. So I think this bodes very well for all of the big players in the industry. There's more than enough work to go around. I think it also bodes well for companies like Jacobs, specifically, because we are so strong in North America, in the Middle East, in Singapore, relative to some of our competitors. I think our opportunity to get more than our share is pretty high. So it's pretty much a good news story both for the industry and for Jacobs specifically. The challenge for our customers has been figuring out what to do first. We've got a couple of customers who come to us and said, "Look, we need a bunch of process engineers to come in and help us do our sort of pre-feasibility work because we don't have enough people to get the work out. And so we can't release projects to you, Jacobs, until we can finish our part of this project and so we need your people to help us do that." So that's a real indication of just how big the backlog of opportunity could be. Did that answer your question, Mike?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: It sure does, Craig. Just one follow-up. When you -- could you remind us what the revenue or backlog split would be North America versus international? And are both going to grow similarly or are there pockets of opportunity internationally that might allow you to enhance your revenue closing those -- that part of the world?
John W. Prosser: Over the last few years, our revenue has been about 60%-40%. 60% U.S., 40% outside of U.S. So Canada would be out there. Our revenue is a little misleading because if you look at the headcount, the headcount is more in line with about 50-50 because of the services that we certainly do a lot more construction here in the U.S. and maintenance activities here in the U.S. So I think we're not going to see over the short term, big changes in those mixes unless we continue to have impact from acquisitions and such. But because of the strong activities in the chemicals markets, particularly in the refining here in North America, the revenue balance will probably stay somewhere about the same. Although I think you'll see maybe the headcount moving a little bit more international just because it will be more of a service-oriented kind of business than certainly in the field services that we do outside the U.S., more of that is PM-driven. So we have not a lot of revenue content, but a high value of individual content in driving larger projects and managing those larger projects. So I think that's a long-winded answer to a short question, but I think from acquisition activity and such right now, those are more likely to be -- have a more international flavor, except for some of these little niche acquisitions, like in the telecom and things like that. But so I think the mix will be driven more -- if there's a change in the mix, it will be driven more by acquisition activities and just overall -- the organic business activity.
Operator: Our next question comes from Andrew Wittmann at Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I want to dig just a little bit into the SG&A. I think coming at it last quarter, I think kind of walked away with a sense that the sequential increase that we'd seen last quarter was kind of driven by some of the investigation that you're doing in M&A. This quarter, you kind of cited that again as a $5 million headwind. I guess, is that a $5 million sequential change in due diligence cost or is that a $5 million year-over-year change in M&A due diligence cost?
John W. Prosser: That wasn't a change. That's the dollars spent. The total dollars spent.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got you. Got you. So as you look forward here and you move, it looks like, into more of the field services work, John, do you feel like the SG&A level here in an absolute dollars term can be stable x the due diligence cost, or should we be thinking about that more as stable in a percentage of revenue term?
John W. Prosser: Certainly. We believe that it's going to be fairly stable other than with the influence of these due diligence cost maybe. And I think that part of that is driven by field services; part of it's just driven by our strong focus on cost control overall.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got you. So as we move into the later portions of the cycle, can you just talk about kind of your view on construction and when that happens. In other words, do you expect this ramp that we're seeing in the field services backlog to really start turning into revenue or is it going to be sitting idle for a while and the ramp is expected to come maybe as we move into fiscal '14? Just kind of your -- curious for an update on your view there.
John W. Prosser: I think we're already starting to see a little of that because this quarter, our field services revenue was up a couple of hundred million dollars over last quarter. Most of the revenue increase this quarter came from field services. And I think what we're seeing, I think we're said this before, is that our clients are tending to release things more in phases. So where historically, if you go back maybe the -- during the last boom, the clients would award us an entire project then we'd still be going through the FEED and on detailed design, so it might be 6 to 12 months before you saw the construction revenue move from backlog to -- to book it as actual revenue. Now as we -- they really are doing it more in phases, so once we get a phase release, we are pretty much, for the most part, ready to go to work on those. So there's a much quicker book-to-burn cycle even in the field services than might have been evident historically.
Operator: Our next question comes from John Rodgers at D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. One, I know you've stuck with your wide guidance for the fourth quarter. But beyond the due diligence, are there other projects that are hanging out there that sort of can explain that wide range? And I know, John, your comments about targeting the middle of it, but still, it's a pretty big delta.
John W. Prosser: Well, I mean, we have moved to a wider range as we have pretty much stuck to that. As you get out to the wide range, particularly with this late in the year, the probabilities of doing anything at the outer edges of that range become fairly low probabilities and they move higher as you get to the middle of that range. But one of the reasons we're reluctant to narrow it is just in past reactions, when we've narrowed it both at the top and the bottom and everybody emphasizes the movement on the top. And so we just figured that the outlook hasn't changed that much from last quarter. Our outlook and our performances is still in line with that so there was really no reason to change.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then, Craig, you made a comment just about pricing getting a little better. It sounds like primarily in the North American markets. Is that in terms of the work that you're signing up now? And I assume you still are working through lower priced work at this point. And when do you expect to see the -- or we might see some of the impact of that?
Craig L. Martin: It won't ever come, John, as like a noticeable sudden shift to uptick. It's just going to bleed in. What we're seeing is that, we are starting to see some of those work that we sold a few years back, sort of move completely through backlog and get completely worked off. And we are starting to see a little bit better margins on the work that we're doing today. And when I say a little bit, we're talking about pennies an hour kind of improvements. So it will take a while. If that trend continues and we get pennies an hour this quarter and pennies an hour the next quarter, pretty soon it's real money. But you're looking at that being 3, 4 quarters out before it starts to add up to $0.50. So I think you have to project. And I think we believe that we'll see a fairly slow, steady growth in margins now, unit margins I'm talking about, for the next 6, 8, 10 quarters. And then they'll probably hit sort of as much as we can get, or the pushback gets just really strong. And they'll tend to stabilize then at that level. But I think it's a very slow process. And like I say, it's 1% or 2% on a unit margin basis per quarter.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. I appreciate that and it's helpful. But how is that offset by just the mix of -- as you do more field services work? I assume you're talking about it sort of on an apples-to-apples basis.
Craig L. Martin: Yes, as field services comes in, unit margins -- well, unit margins aren't even really irrelevant. But what we'll see is, margins as a percentage of revenue will be lower. And so as field services increases as a percentage, the average unit margin will actually come down. That's the wrong word. The average percentage margin as a percentage of revenue will actually come down. So while unit margins will be improving, all through that time, the unit -- the percentage margins will appear to be going the other way as the field services portion increase. Because we just -- even at the net operating margin line, we don't make quite as much money per dollar of revenue of field services as we do off of engineering services.
John B. Rogers - D.A. Davidson & Co., Research Division: And at this point, the field services has still the greater growth prospects.
Craig L. Martin: Yes.
John B. Rogers - D.A. Davidson & Co., Research Division: Because of the mix projects, is that fair?
Craig L. Martin: I think, let me temper that yes a minute. We're in businesses today, and I think John referred to this earlier, like the Middle East, where the contracting terms tend to be EPCM. And so while we're involved there in fairly big projects and aggregate margins, the absolute margins are quite good, there is an increasing fraction of our EPC -- EPCM work that's EPCM or PMC, and those things don't have that pass-through aspect of the field services margins. So I think the mix is going to affect our historic position just a little bit. If you think about 2006, '07 and '08, almost all of our field services margin was in North America -- and almost all of our field services activity, I should say, was in North America, and a lot of that was EPC. I think the balance in this next cycle will be still probably favor EPC over EPCM, but I think we'll have a significant fraction of EPCM. And in May, those EPCM contracts, the actual construction contracts, will be on the customer's book. So we won't see that revenue.
Operator: Our next question comes from Tahira Afzal at KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is really in regards to the oil sands, any kind of update there in terms of projects. And I know, Craig, you provided a bit of an update, but any kind of nuances in the prior quarter because of flooding and really, how we should view the trajectory going forward in terms of pace. And really alongside that, as we see this petrochem cycle unfolding, have you reached a point, and it seems you might have, where the risk elements of doing EPC, EPCM are kind of turning in your favor and really could increase the scope of opportunities for yourself.
Craig L. Martin: Sure, let me take the oil sands situation first. The investment in oil sands is more measured than it was, say, in the 2006, 2008 timeframe. So I don't expect any kind of a steep ramp in oil sands work. On the other hand, we're seeing steady growth there and continue to see steady growth as the outlook. Our new offerings in things like gen 10 modularization, I think are going to put us in a position to take additional share in the oil sands as well. So while I don't think we'll see the sort of the runaway spending that we might have seen a few years ago. I think the oil sands prospects remain very good and I think we'll continue to see double-digit growth as a company up in the oil sands, maybe even high double-digit as this gen 10 offering catches on. With respect to petrochemicals, absolutely. At times when there are insufficient resources, customers move rapidly away from lump sum kinds of delivery schemes and they move to cost reimbursable schemes. Jacobs has a very significant crap-base in North America that really can't be accessed unless you contract with -- I mean, can't kind of, but it's difficult to access unless you contract with us. And so I think that actually does significantly increase our opportunities as customers move their buying into our sweet spot. So we're actually very, very excited about the opportunities in the construction side, field services side of our business. We just put some additional executives in that business for no other reason than zeal what we think the ramp looks like as we go forward.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. And just a follow-up to that. On the oil sands side, we have seen some incremental pipeline delays, some commentary, recent commentary from the administration is kind of mixed on Keystone again. So any thoughts around that. And then really, final question is in terms of the U.K. Defense Ministry, there are clearly pretty exciting opportunity. I've tried to read through documents and it's really difficult to size up the actual scope. So would love to get an idea that as the defense budget here peaks and potentially tapers off, how much of a replacement opportunity could this U.K. opportunity present for yourself?
Craig L. Martin: Let me go to the pipeline capacity issue first. The industry executives that I've talked to have taken the President's comments to actually be favorable to Keystone as opposed to unfavorable. And it goes to the lack of specificity. And so that the pundits that I've talked to, as well as the key executives, all seem to think that the likelihood of Keystone going forward is higher not lower. And most everybody that we talked to say it's 2017 completion of the pipeline as the sort of critical timeframe. So we still have, from their perspective, adequate time to get the pipeline approved and built to meet what they see as the export demands of the oil sands. There are also some Canadian alternatives that would also help the oil sands, the bitumen producers, to find outlets for their products. A couple of BC pipelines could be particularly important. One of them looks like it's in trouble. The other, frankly, looks like it might go. And so those things, I think, are actually positives at the moment. If it starts to become clear that there isn't going to be new capacity by 2017, I think that could result in a curtailment of some activity in the industry. But another point that's been made and one that I agree with, is that there's very little oil in the world -- or for lack of better word, yes, I'll call it oil in the world -- that is available now to the majors, right? I mean, if you think about it, an awful lot of the world's oil is actually national government-owned and the majors can only access that through joint ventures. So there is clearly some advantage in this huge resource that is in Canada in that the Exxons and Shells and Chevrons and Conocos of the world can own that resource. And I think that means that the investment attractiveness of Canadian oil sands is a little higher than its straight economic attractiveness. And I'm parroting a really good study that I read just recently, but it resonates with me and I think it's true. So that was your first question. The second question was about the defense business. We really can't share any more about what we have won already because we don't have the customer's permission to do so. I think the plans of the MoD in the U.K. in terms of outsourcing remain pretty significant. And I think we, as a company, remain well positioned to take advantage of that. But these things are slow processes and I don't know that I would suggest that it will or won't replace anything in the U.S. I'll go back to my position about our position in the U.S., I believe we have significant ongoing opportunities to continue to grow, not at double-digit rates but in single-digit rates, in our federal and national governments aspects of our business in North America, in the U.S. And so what happens in the U.K. will be either slightly incremental or hugely incremental, depending on how that all unfolds.
Operator: Our next question comes from Jerry Revich at Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: I'm wondering if you could talk about your views on the TIFIA program ramping up. And when do you think it will be at a point where it will meaningfully impact the U.S. infrastructure market as you see it?
Craig L. Martin: I'm not convinced that it will have a significant impact on the U.S. infrastructure market. The numbers relative to the market itself are maybe incrementally significant, but it's such a huge business in the United States and in North America that very little our government does moves the needle very far. So while it's a positive and we're excited about it, I guess -- maybe that's an exaggeration, that we're positive about it -- I don't think that's going to make the infrastructure investment in the United States zoom in anyway. Does that make sense?
Jerry Revich - Goldman Sachs Group Inc., Research Division: Sure. And in terms of for your chemicals business, can you just talk about how much of the backlog growth that you saw in the quarter for process was driven specifically by chemicals? And if you could, just give us a sense for whether there's any meaningful change in the type of mix of work that you're doing, any changes in this environment versus a year ago in the type of work that you're getting within the chemicals business?
John W. Prosser: Well to answer your first question, we don't break down the backlog any further than we have given it, by kind of the sectors. But obviously, if you look at -- when you see the Q, which will be out later this each week, you'll see that the revenues in the chemical marketplace for the quarter did improve both quarter-over-quarter and trailing-12-over-trailing-12. So I think it clearly is a part of that increased backlog. It's a good part of that increased backlog in the process industries. And we think that, as Craig says, this has got a cycle that will go at least through '17 and maybe beyond.
Craig L. Martin: Yes. One thing I think you can look at is, if you go back just a few years, chemicals was 11%, 12%, 13% of revenues when the revenue numbers were a bit smaller. And today, it's running at 20% of revenue. So I think there's -- you'd clearly see that chemicals are starting to move the needle in an important way even today.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And what about the type of work that you're getting, any longer lead time projects that are starting to come through, is the average job size increasing? Any differences at all in the type of quotes that you're providing today versus a year ago?
Craig L. Martin: There's no question that the average job size is a bit bigger. There are more of them. There are more of what I'd characterize as major projects as well. So our activity levels are up in the aggregate, there are still a lot of small stuff -- don't misunderstand me, small stuff all needs -- still needs to get done, but we are seeing a lot more activity. And I'd say the average project size is certainly moving up.
Operator: Our next question comes from Robert Norfleet at BB&T Capital Markets.
Basil M. Jones - BB&T Capital Markets, Research Division: Is This is actually Basil Jones on for Rob today. First, you've mentioned over the course of this call and in recent calls, Jacobs' success in kind of taking market share. Can you maybe add a little more color as to what end markets you've been most successful in this respect? Are you having the lower prices at all and seeing margins trimmed a little bit as a result?
Craig L. Martin: Sure. Probably the place where we've been most successful in recent months in taking market share has been in the public marketplace. The bad news about those markets, as we all know, is there's less money going into them, whether it's infrastructure or the national government side of the business but particularly in national government. and we've been hugely successful, in my opinion, in taking market share in that arena because while the market is shrinking pretty significantly, our business is actually growing. So that combination suggests we're doing very well at taking share. If you look around the rest of the business, we're starting to see share growth in the Mining & Minerals industry. Again, the market is moving, investing where we have the greatest strength and that continues to be a positive for us. And then our traditional markets like refining, we've always had a strong share position but the project types and scale in the refining industry probably are more to our liking than most of our competitions as compared to the refining estimates -- the refining projects in the 2005 to 2009 time frame. So that's also, probably, giving us opportunity to grow share. In businesses like chemicals, there's so much work out there, it's almost impossible to figure out what's happening in share. The market's just really good for everybody.
Basil M. Jones - BB&T Capital Markets, Research Division: Okay. That's great. And then secondly, with crack spreads kind of down over the last 6 months and some regions and countries are being a little more cautious with the fall turnaround season, are you seeing this impact your business as it relates to CapEx? And do you see this being more of a short-term issue or something a little more systemic?
Craig L. Martin: Our business really concentrates on turnaround aspects of North America. And there, the outlook that we're seeing is not reduced activity. If anything, it's a little bit of an increased activity. I think there's maybe a difference or a shift in turnaround activity in places like Singapore where crack spreads are really, really low. But that's really not a business that we're -- where we have strength, the turnaround industry in Singapore. So in the geographies where we work, we're not seeing any negative impact in the area of turnarounds or the small capital investment. In the areas where we don't do a lot of that field services activity, there's still a fair amount of investment in small cap work and turnarounds in some cases are being delayed but that really isn't affecting our business.
Operator: Our next question comes from Brian Konigsberg at Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: I just wanted to touch on margin a little bit more. So I know you don't want to provide guidance for 2014, but just kind of putting the pieces together, you're saying that pricing getting modestly better and hopefully that will gain a little momentum, doing a bit more EPCM work than you would historically have done in the previous cycle. The topline profile, obviously, is improving and you get better at cost absorption. Should we anticipate you could still see gradual improvement in the operating margin profile from here or does mix really just -- is it just too heavy of a burden to offset those other items?
John W. Prosser: Well, it will be -- it won't be a nice, smooth transition to say the least. But we would expect to see, because of improvement in margins, be able to see a fairly stable margin around those levels we've been seeing this quarter, last quarter with the margin improvement, pricing improvement offsetting over, on average, the mix shift. Now in any given quarter, depending on the shift, like this quarter's margin, operating margins might be down a little bit or up a little bit, just to say where we are on particular projects, pass-through costs and a lot of other factors that have more impact quarter-to-quarter than they have, say, over a longer period like the fiscal year. But I would say that our anticipation is not for, let's say, growing margins over the next year, but fairly stable margins in spite of the fact that we'll see a big mix shift.
Brian Konigsberg - Vertical Research Partners, LLC: Got you. And maybe just moving on to the SG&A cost, actually, the due diligence cost that you have been referencing, maybe talk about the assets that you're seeing in the market. Are there certain markets that look more attractive versus others in regards to pricing? And maybe just fundamentals, some color on that would be great.
Craig L. Martin: Yes. We're pretty focused on end markets that are outside of North America and Europe. So things like South America, Asia Pacific, Australia, Brazil in particular, those are areas where we think there's significant opportunity and where we think that pricing is attractive for our shareholders. So a lot of push there from our perspective. There are some attractive companies out there that we think represent important opportunities if we can make those happen. But as I always remind everybody here, you have to have a willing buyer and a willing seller and the motives for making the deal have to make sense for both. So sometimes these things happen like we like them to and sometimes they don't. Sometimes we spend a lot of money on due diligence and we don't have a deal at the end of it; sometimes we do. So it's one of those things you have to remember, it's just plain when the opportunity presents itself and does it all work out. But I do feel good about the kinds of opportunities that are out there and the fit -- potential fit between the companies that we've looked at and Jacobs. So we'll see what happens.
Operator: The next question comes from Vishal Shah at Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Just wanted to follow-up on the M&A question. Outside of M&A, I know you've historically not looked at other forms of capital return. But any thought on any potential for dividend or buyback going forward as you sort of explore these options over the next couple of years.
Craig L. Martin: I'll let John comment in detail, but I see so many good opportunities from an acquisition perspective that I think represent substantial opportunities for return to our shareholders that I'm not an advocate or a fan of alternative ways of using our cash. I think we have great usage for our cash going forward, doing what we do. That being said, we'll look at those issues with some frequency with our board and go through that analysis of what those potential returns are, what makes sense, to be sure we think we're on the right course. If the acquisition opportunities were to dry up or the pricing were to get to the point where you can't make them make sense, we'd have to look at alternatives. John?
John W. Prosser: I think you just answered that. I think we continue to see a lot of opportunities on the acquisition side as we've always focused on 2/3 of our growth, that 15% growth to the bottom line, we expect to come from acquisitions. And so given our decent cash position and availability of resources to grow our existing credit lines and just our market resource availability, we feel that the cash and all that we have is better focused on acquisitions than alternative capital deployment. As Craig said, if we go a period of time and can't find those acquisitions and the cash continues to grow, certainly periodically, we do look at the alternatives in both the management level and all the way up to the board and consider those.
Vishal Shah - Deutsche Bank AG, Research Division: That's helpful. And just one other question. On the margin side, you mentioned that as the mix shifts more towards the field services, what are the factors or what are the things that you need to control costs and improve margins besides maybe improving utilizations and controlling G&A. Anything else that you can talk about that would help margins in the near term?
John W. Prosser: Well, as the revenues grow on the field services side, field services generates very little need for G&A expenses because most of the costs related to a field service project are in the field, are directly reimbursed by the client, even space and such like that. So you don't get the incremental add, so that margin or the G&A as a percent of revenues tends to go down as our field services grow. Having said that, we are always looking at the absolute dollars in our G&A so that as we even grow our professional services, which does generate need for more space and such, when you look at how we can be more efficient in that space utilization and more efficient in the utilizations of people through overtime and such like that, so that we keep the G&A growth in absolute dollars below what we're generating as far as margin growth on the professional services side. But it's a lot of little things. There aren't any great big magic bullets, because I think we're already pretty well focused on all of those. But it's just a constant focus on controlling the costs, everything from the amount of number of people you have go on a sales call or a job watch to the -- how we utilize our information systems to pull together proposals and just how we can focus on getting better utilization of space and people within the system.
Operator: Our next question comes from Robert Connors at Stifel Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: I guess, I'm sort of going to ask the margin question a little bit different way. Just about 1 year, 1.5 years ago, I guess, you would characterize the public sector market as being higher gross profit margins but offset by less opportunity to leverage your G&As. I'm just wondering if that's still applicable or are you starting to see where the private sector is starting to yield a little bit higher margins, gross profit margins versus public?
Craig L. Martin: The public sector unit margins, we're talking about now, remain higher than the private sector unit margins. And the cost to serve the public sector customer remains higher than the cost to serve the private sector customer. So the relationships haven't fundamentally changed. What we are seeing the public sector is more price competition, which I think we mentioned several times on this call over the years, has not been a factor in public sector competitions historically. So price competition's starting to move the public sector margins down relative to the private sector margins and hasn't changed the cost to serve much. All that, of course, is an advantage to us as we see it, because we maintain the same approach on cost to serve in both industries or for both aspects of the business. On the private sector side, as I mentioned, we're seeing faint improvement in margins and we expect that to continue. And the cost to serve in those cases is also going to increase but not quite as much, we think. So margins, unit margins in that market will improve a little, unit margin in the public sector will be poorer by a bit, but the differential will still favor the public sector markets. Did that answer your question?
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Yes, yes. It's very helpful. And then I think it was a couple of quarters ago, you guys had sort of given us a rough timeline on when you expect the TPS-FS mix to sort of go back to a traditional 50-50 split. Just wondering if you could provide us an update on that?
Craig L. Martin: Sure. We're going to continue to see, I believe, over the next few quarters, a relative increase in field services versus the technical professional services aspect of our business. I'm not as optimistic that we're going to get to 50-50 as I might have been a few quarters ago. Not because we're not doing as well in field services as I expect -- as I mentioned earlier, we're expecting to do maybe even a little better -- but because I think the mix of field services will tend to have less pass-through revenue than what I thought 3 or 4 quarters ago. I thought it would be largely EPC. And now I think it will be still the majority EPC, but I think that there'll be a fairly significant PMC, EPCM component. So I'm not sure we'll get back to 50-50, but I think that wherever we're going to end up directionally, whether that's 45-55 or 48-52, I think that you'll see that happening over the next, say, 8 quarters and pretty steadily, just as you're seeing in this quarter, what's happened to backlog and revenue as well.
Operator: The next question comes from Will Gabrielski at Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Following up on the question about mix. I'm just wondering which end market drove the incremental growth in field services. Was there one particular end market contributing to majority of the growth you guys saw this quarter in your revenue burn?
John W. Prosser: Well, it's heavily in the process -- heavy process industries and probably the most -- I think it's probably evenly kind of -- maybe the chemical's a little bit stronger, but there was a mix across all 3. That I think on the construction side, probably you're starting to see some of the chemicals hitting into the market. When you see the revenue breakdown, certainly chemicals was one of the biggest -- had the biggest surge quarter-over-quarter.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And was that work that was in backlog for a while that took a while to get going, or is that you work your booking and starting to burn pretty quickly from contracted work?
Craig L. Martin: It's a mix. Some of it is work that has been in backlog for some time and just started moving into the field in a significant way. Also there's a -- the turnaround season is bigger in the spring, summer, fall than it is in the winter. So those were both factors in what drove those numbers up.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. In your particular segment of North American downstream, are you seeing any additional foreign competition versus what you might have expected a year ago?
Craig L. Martin: None. We just don't see -- outside of what I would characterize as traditional competitors, who you might characterize as foreign, CB&I, Foster Wheeler, Technip, who have been in the markets forever, we're not seeing the Japanese or the Koreans in any -- any significant way.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay, that's helpful. And then lastly I guess, as you look into government fiscal year '14, what type of indications are you getting or what are you expecting around potential impacts of just whatever type of budget they pass and then the sequester on top of that and whether or not that goes forward.
Craig L. Martin: Right now, the outlook in the businesses we serve, so test engineering being the biggest single part of the governments business for us, the outlook there is for spending to be slightly up to flat. And I would lean towards slightly up based on what we know right now. In the environmental cleanup side of the business, which is a much smaller fraction of what we do in North America, in the U.S., I think that's probably going to be down a bit. But the projects that we were working on and the ones we're chasing all represent pretty good steady work going forward. And probably the scope of those projects won't be affected as much as new project will be affected. So I don't think the outlook for '14 in the public sector is particularly negative. I'll go back to my original view that we're going to get single-digit growth.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And has there been any change in the cash conversion cycle within the federal component of your business?
Craig L. Martin: No.
John W. Prosser: Not really. We're seeing more pressure on our private sector on payment terms and receivables than in the public sector.
Operator: The next question comes from Jamie Cook at Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: All of my questions have been answered. Just one. John, can you remind me how much the due diligence cost, what they will be? I guess, how much will that be in your fiscal year 2013 because I'm just trying to -- into that, I guess, do we expect those costs to continue at high levels in 2014? I'm just trying to figure out the potential tailwind that you could have in 2014. And also, I guess, whether or not the due diligence cost are trending higher than you originally had anticipated to when you originally gave guidance.
John W. Prosser: Well, they were in the range of guidance because we expected -- we just didn't know exactly how active things would be. Probably for the year, this year, it will be somewhere in the range of $0.05 for the -- so that would be the -- probably the fourth quarter will be similar to the third quarter, just the one we're looking at it right now. It's hard to anticipate what might happen in '14. Certainly, we'll look at that as we see what -- when we come out with guidance next quarter, but we continue to see a lot of opportunities and so I wouldn't be surprised to see that kind of impact. But it depends on what -- there's a lot of variables in them.
Craig L. Martin: Yes, Jamie, we really don't forecast major due diligence events in our fiscal plan. It's just not that predictable when they're going to fall. In '12, there was a deal I was just sure we were going to get to do. If I had put any money in the plan for that, we'd look like heroes because we didn't spend any of it. So it's not of one of those things where we can sit back and say, "Okay, this year due diligence costs are going to be $0.07 or $0.08 and we'll build that into our guidance." There's a sort of a background level of due diligence that's in our guidance. It's always there because it's just basic overhead for the M&A functions. But the individual due diligence for these companies can vary from nominal amounts of money for a little deal like a Compass, to much more significant amounts of money like John's talking about today.
Jamie L. Cook - Crédit Suisse AG, Research Division: Yes, I guess, just because if you add the $0.05 back or so you're getting closer, much closer to your 15% historical targeted goal -- or not your targeted goal, right, I'm trying to think about that with regards to 2014.
Craig L. Martin: I hope the $0.05 will prove to be a really brilliant investment on our part, but only time will tell.
Jamie L. Cook - Crédit Suisse AG, Research Division: Just last. You mentioned employee -- people jumping ship and going to competition and that you need to pay your employees more. Are you passing those costs through to your customer?
Craig L. Martin: Yes, we continue to be almost entirely cost reimbursable. And so as we raise wages, the customer is very aware that we're doing it and they're supportive of it. So they pay the multiplier on the higher cost, which provides some expansion of our margins actually. But we also end up doing that with our G&A staff, so some of that goes back in the form of higher G&A. If there's anything I think that would push G&A up over and above just sort of normal Consumer Price Index-related increases in G&A, this sort of wage push will both improve margins and push G&A. So a year from now, we may be looking at a higher G&A number by a chunk and a lot of it will have come from staying competitive with salaries in the marketplace.
Operator: Our next question comes from Andy Kaplowitz at Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Craig, so your comments and really your consistent backlog growth over time is just so different than one of your competitors who recently reported who's talking about projects moving to the right. We know you're not large project focused, so especially to the extent we find that most of your competitors, or maybe that's what this is, but can you talk about your visibility for continued backlog growth over the next 2 quarters? And whether you're seeing any of these delays in your business? It sounds like you're not, but at the same time, I feel like I need to ask the question.
Craig L. Martin: No, it's a great question. Our backlog is lumpy, but it isn't lumpy compared to most of our competitors for the reasons you just described. There's a very large component of our backlog that is this steady repeat business that we work so hard to get and keep in the small cap and alliances and all those things we talk about. So that adds a stabilizing factor to our backlog that many of our competitors don't have. Our backlog tends to be sort of, of the moment, as John pointed out earlier, things come into backlog these days at just about the time you start working on them. And so that tends also to smooth the backlog. And so we're seeing projects move more slowly than we wanted or expected. So I think we agree with industry that things are moving to the right, but the nature of the way we approach this stuff and the way our backlog grows, it doesn't show up, I think, as significantly in our numbers because the big events aren't what's swinging our backlog. Does that make sense?
Andrew Kaplowitz - Barclays Capital, Research Division: It does. And does that mean that we should still expect again some lumpiness, but over the next few quarters, you're still pretty confident about sequential backlog growth there?
Craig L. Martin: Yes, I continue to expect good, steady growth. But 1 quarter to the next, it might not be very good at all. But I think over the next, say, 4 quarters, we should continue to see good, steady growth.
John W. Prosser: Certainly, as Craig mentioned earlier, the prospects in places like the chemical business are really significant in both quantity, as well as size of individual project. But so those things, we still have a very high level of confidence that we'll get our share at least and that will be a positive factor to our backlog and to revenue.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay. That's helpful guys. And then, can you talk about the U.K. economy. It's picked up pretty significantly over the last couple of quarters. And you have, in terms of Europe, the U.K. as your largest exposure, I think and you have pretty big exposure for the company. Have you seen a decent pickup in infrastructure oil and gas activity in that particular market?
Craig L. Martin: Oil and gas activity there has been strong for a long time, continues to be strong. We're starting to get an increasing share of that with a couple of key managers whose investments are significant. So I think that's a positive, has been positive for a little while and will continue to be a positive. On the infrastructure side, we've done pretty well in terms of growth in the downturn. As things are starting to look up a little bit, I think that's a positive for us. We're particularly positive about what appears to be happening in highways, but that's a business that's been not very good for the last couple, 3 years. So we think the improving economy means some increasing investment in infrastructure and I think all of those things are positive for us. We're also right at the beginning of the AMP, what's called the AMP cycle. And that's really in the water business there, where we have a pretty solid presence. Almost every water company in the U.K. is going to rebid its relationships, which they do on a 5-year cycle. Each 5 years is an AMP cycle. We're about to start AMP6. And we look at our positioning for winning a big share of AMP6 and it looks very good. So you're right that the U.K. is the biggest part of our Europe business and a significant part of the company overall, but I think it's also a brighter light for us than it has been over the last few years.
Operator: The next question comes from Nathaniel Pulsifer at Pulsifer Associates.
Nathaniel Pulsifer - Pulsifer & Associates: A couple of questions. Debt has gone down, but during the period your contracts signed in backlog have gone up. So I'm wondering about the payables that are associated with these new contracts. How do you handle those relative to your debt, prepayments, things like that?
John W. Prosser: Well, first of all, our debt that continues on the balance sheet is primarily related to acquisitions. And it actually has been local debt in a number of different currencies because we've done -- related to the acquisitions we've done outside the U.S. Our payables -- right now, the majority of our business being on the professional services side, they don't generate a lot of payables. They generate a lot of payroll. And those, we have to pay every couple of weeks. But when we -- as we do get back into the field and start seeing more construction activity and pass-through cost and such, you have that increasing. We manage it in some cases through either 0 balance accounts or advanced funds. In other cases where we can't get those, we'll get contract terms that we pay our subs when we get paid by the owner. So we match the cash flow. We tend to increase both sides of the equation. But our business, from an operating standpoint, tends to have a pretty good cash flow. So we're able to fund those through our cash flows rather than through increasing debt. Our debt, as I said, is really more for acquisitions and growth outside of the organic growth that we generate.
Nathaniel Pulsifer - Pulsifer & Associates: Got it. Is the cash to sales ratio, does that represent a new normal for Jacobs? It's gone up recently and I wonder if you have an objective here or is this just a happy consequence of better times.
John W. Prosser: Well, I mean, our business tends to generate cash. We've historically used that cash for acquisitions and growth. So when we haven't done any significant acquisitions for a couple of years, the cash tends to grow. As we, hopefully, are successful in a few of these that we're looking at, then the cash -- or the net cash will come down as we use those resources for growth. The cash we need for operations is relatively low. And so certainly, a balance of $100 million to $200 million is probably all we would need to sustain just an operation cash flow. So the balance above that would be available for either debt reduction, if it's in the right currency, or acquisitions going forward.
Nathaniel Pulsifer - Pulsifer & Associates: That's extremely helpful. Shares outstanding, diluted shares went up by nearly 2.5 million over the 12 months. What principally accounts for that increase?
John W. Prosser: A little bit of it has to do with issuing the shares for options or our stock purchase plan, but because of the way you have to calculate those, the fact that our stock price has gone up nicely over the last year actually increases the amount of dilution from outstanding stock option.
Nathaniel Pulsifer - Pulsifer & Associates: And final question. We've spent good time on the growth on the chemicals business and one of the attributes that I think Craig gave us was, that feedstock costs have come down and that stimulates growth in the business. Are there other significant reasons that attribute to the growth of the chemicals business?
Craig L. Martin: I think if you think about growth in chemicals on a global basis, you're dealing with sort of GDP growth in the markets, coupled with people with low-cost feedstocks moving into markets and displacing people with high-cost feedstock. So naphtha-based chemicals being replaced by natural gas-based is certainly a factor in lots of places in the world. I think specifically, the boom in North America -- let me be more specific there, the boom in the Gulf Coast in the United States, is not just low-cost feedstocks and a long-term view that they're going to stay low cost, but also the U.S. Gulf Coast is probably the place in the world where cost of construction and therefore, capital investment, are most predictable and lowest in terms of the productivity of labor, the cost of materials and equipment delivered to the site. Much more predictable in the Gulf Coast than almost anywhere else in the world. So you have some cost certainty for the customer, if they make an investment in the Gulf Coast, you have what most people believe is an assured long-term supply of low cost natural gas. And those things are clearly drivers for worldscale investments in the U.S. versus potentially other places. So I think chemicals investment for the next cycle, this cycle that we're just seeing the beginning, are really U.S. Gulf Coast, Middle East feedstock driven mostly and a few locations like Singapore, where the logistics advantage outweighs a little bit of the cost trip.
Operator: Our next question comes from Stewart Scharf at S&P Capital.
Stewart Scharf - S&P Capital IQ Equity Research: And speaking of the gas and the Gulf Coast. There's a plant that's being built in Russia for exporting through some of the areas where there's thawing in the Arctic and it's supposed to be ready by 2016, I believe. Could you comment on that? Any involvement with that and any effect that might have on natural gas plants being built in the Gulf?
Craig L. Martin: We have no involvement in the Russian project whatsoever. Russia is really not even on our target geography list, at least in my career. I don't think that it will have a significant impact on U.S. gas projects for a couple of reasons. There's going to be a fair amount of gas go into the chemicals industry, but I think the largest consumer of gas in North America will be power. If you look at the permitting challenges with either coal-fired power or nuclear, I expect that natural gas-fired power will be a major factor in gas consumption. And I think export gas for the U.S. is not as robust a market as a lot of people think. Deloitte did a really good study on that subject maybe a year ago and that was their conclusion. And I haven't seen any evidence that they were wrong in reaching that conclusion. So I think the U.S. market for gas is more self-contained than perhaps the common thinking is at the moment. And so I don't think that the availability of Russian gas, either to Asia or to Europe, will have a material impact on investment in the U.S. I could be wrong, of course.
Operator: Our next question comes from Steven Fisher at UBS.
Steven Fisher - UBS Investment Bank, Research Division: I'll just keep it real quick here. Craig, you mentioned $600 million of specific refining projects. Can you just clarify the timing you're thinking about there? And then have you booked anything particularly chunky yet in fiscal Q4? I know you guys have that North West Rail Link project press release, that it seemed like that could be somewhat sizable.
Craig L. Martin: We have not had anything that I would characterize as chunky in the backlog in the last couple of quarters. The projects that I mentioned are in the -- what I'll characterize as discussion phase right now in terms of trying to get a negotiated award. They will be FEED first, then detail design, then construction. And the construction part of that probably won't be awarded for several months. So even that -- those 2 programs, which would probably be combined as 1 release, even those 2 programs are probably incremental increases in backlog for the first 2 awards, the FEED and the detailed design. Did that make sense?
Steven Fisher - UBS Investment Bank, Research Division: Yes, perfect sense.
Operator: At this time, we show no further questions. Would you like to make any closing comments?
Craig L. Martin: Just thank everybody for the attention to the call and the participation. And a lot of good questions and we appreciate that. I think we have a great story going forward. I think we continue to do what we promised. And I think there'll be a lot of positives out there in our future. So I look forward to talking to you again in about 90 days or thereabout. Have a great day.
Operator: The conference has now concluded. Thank you for attending. You may now disconnect.